Operator: Welcome to the MBIA Inc. fourth quarter and full year 2014 financial results conference call. I would now like to turn the call over to Greg Diamond, Managing Director of Investor Relations at MBIA. Please go ahead.
Greg Diamond: Thank you, Christie. Welcome to MBIA's conference call for our fourth quarter and full year 2014 financial results. After the market closed yesterday, we posted several items on our websites, including our financial results press release, our 2014 10-K and quarterly operating supplements, for both MBIA and National. We also posted the annual and audited statutory financial statements for MBIA Insurance Corporation and National Public Finance Guarantee Corporation, and updated information regarding each of their insurance portfolios. Regarding today's call, please note that anything said on the call is qualified by the information provided in the company's 10-K and other SEC filings, as our company's definitive disclosures are incorporated in those documents. Please read our 10-K as it contains our most current disclosures about the company and its financial and operating results. The 10-K also contains information that may not be addressed on today's call. Regarding the non-GAAP terms that it will be included in our remarks today, the definitions and reconciliations to those terms may be found in the 2014 10-K, yesterday's financial results press release and our quarterly operating supplements. The recorded replay of today's call will become available approximately one hour after the end of the call, and the information for accessing it is included in yesterday's financial results press release. Now, for the Safe Harbor statement. Remarks on today's call may contain forward-looking statements. Important factors such as general market conditions and the competitive environment could cause our actual results to be materially different than those projected results referenced in our forward-looking statements. Risk factors are detailed in our 10-K, available on the website at mbia.com. The company cautions not to place undue reliance on any such forward-looking statements. The company also undertakes no obligation to publicly correct or update any forward-looking statement that later becomes aware that such statement is no longer accurate. For our call today, Jay Brown, Bill Fallon and Chuck Chaplin, will provide some brief introductory comments. Then a question-and-answer session will follow. Now, here's Jay.
Joseph Brown: Thank you, Greg. I come to today's call with so much mixed reactions for our 2014 results. On a very positive note, I'm gratified that MBIA has had its first year of operating profitability, since before the financial crisis and recession. The National Public Finance Guarantee rode its first policies, our holding company is more liquid than it's been in years and that we've worked the legacy MBIA Insurance Corp. portfolio down to $55 billion from its peak in 2007 of over $300 billion, while dramatically reducing its risk profile. In addition, our operating cash flow was positive for the past three quarters and adjusted book value increased in 2014. Our team here at MBIA has accomplished much in the past several years, and we clearly turned key corner in 2014. On the other hand, there were a handful of issues that leave me disappointed. Most significantly, National has not written as much new business as we had expected. We attribute that to several factors; some environmental, some industry-wide and some associated with National itself. In terms of the business environment, the current low interest rates narrow the marginal benefit of insurance for issuers and increase demand for higher yielding unwrapped securities. It seems likely that this will inhibit the sales of new bond insurance policies for some time, until rates increase and spreads widen. Looking at our industry, pricing has never been tighter, so many more transactions than we had expected are failing to meet our internal hurdle rate of return. Finally, National's reentry to the market is only about 10 months old. We are still reintroducing ourselves to the thousands of issuers, bankers and financial advisors across the country. The first few policies and new muni bond insurer rights are always the hardest to win. And while our market acceptance is growing in the new issue market, we're not where I want us to be yet. On the existing portfolio side, National is doing extremely well. Incurred losses in 2014 were within long-term expectations. We had some solid remediation results, most visibly in the case of Detroit, but we also had good outcomes in a number of other cases, where municipal issuers went through difficult restructurings. In all cases, holders of National-wrapped bonds received every scheduled principal and interest payment. In long run, we know this will help build increasing demand for our product. The Credit Suisse progress, VIE, and the market are currently monitoring most closely is, of course, Puerto Rico. Although, there is new news on the Commonwealth almost daily, the outcome remains uncertain. We have taken reserves against our exposure, but at this point there is little we can report as to the ultimate outcome. Bill will provide an update on the latest events, but I am comfortable that no matter how it plays out, all of National's insured bondholders will be well protected. We are very well aware that our share price has not performed well, perhaps in some degree due to the uncertainty around Puerto Rico. Because we have a robust liquidity positioned at our holding company, including a $228 million release from the tax escrow account in January, we have been able to repurchase some of our stock at prices we find attractive. Since the Board authorized a new $200 million repurchase program in November, we've bought about 8 million of our shares for $67 million, reducing the float by around 4%. The share repurchases were at prices well below both book value and adjusted book value per share. So we believe they are accretive to shareholder value. We are also working at reducing debt and retired $50 million of guarantee investment contracts and $10 million of holding company's senior debt over the same time period. Our objective is to reduce our holding company debt to a capital ratio to the middle investment grade range in 2018. We continue to aggressively reduce risk at MBI Insurance Corp. It had an increase in statutory capital in 2014 and maintained adequate liquidity throughout the year, while gross par outstanding declined from $80 billion to $55 billion. We continue to believe that it will have adequate resources to meet all of its expected policy obligations. However, we don't expect that the financial performance of MBI Corp. will be able to provide meaningful returns to our shareholders. It has an accumulated earned surplus deficit of $1.8 billion and $1.2 billion of securities outstanding, plus another $282 million in unpaid interest that's subordinate to policyholders, but superior to common equity. Given the high rate of interest on the surplus notes, we do not believe that MBI Corp. will have sufficient assets to certify those requirements, and still provide significant residual returns to shareholders. So the economics of MBI Corp. accrue to the benefit of the holders of its surplus notes. Our objective here remains to ensure that MBI Corp. pays all its claims and maximizes amount it can repay to surplus noteholders. Our company has a substantial deferred tax asset associated with its historical net operating losses. We do not expect to be paying full cash taxes for several years into the future. Below the holding company level, we have a tax-sharing agreement, which governs the relationship between MBIA Inc., the tax payer and its subsidiaries. Because of the size of the NOL and our desire to ensure that investors understand its terms, we have included our tax-sharing agreement as an exhibit to the Form 10-K. It is also available via a link in the Frequently Asked Questions section of our website mbi.com. Finally, in 2014, we continue to reduce our expenses and organizational complexity. One visible outcome of that was the sale of Cutwater Asset Management, which closed on January 2, 2015. The economics of the sale are positive, but not material to the overall company. Cutwater will continue to manage our various investment portfolios, and we clearly wish them much success under their new ownership. At this point, I'll turn it over to Bill.
William Fallon: Thanks, Jay, and good morning, everyone. I'll begin by echoing Jay's earlier comment. None of us at National are satisfied with the level of new business we've written, since achieving competitive ratings last spring. After more than six years on the sideline, we were eager to resume adding value to the municipal marketplace. And while we've made some progress, it clearly hasn't been as much as we'd hoped. Jay covered some of the challenges we've faced, as we've reentered the market. What I'd like to focus on are some factors that make us optimistic that we'll be able to write some growing amount of new business in the future. First, Tom Weyl, who we hired from Barclays, joined us on January 5. Tom, his team and I have accelerated our marketing efforts and went out on the road meeting with bankers, financial advisors, issuers and investors, in an effort to help them better understand National and its value proposition. What we've found is that while the people in some of the offices of large banks and big investment sharks are well aware of National and the value it brings, that isn't consistently the case in all of their offices who are at the retail broker level, where the majority of insured muni bonds are sold. So we've been targeting regional offices around the country. It's a time consuming process, but one that we see producing results. That's a good segue to my second point, which is that we can see the momentum building. We've insured $369 million par amount of new business since reentering the marketplace, beginning with a refinancing of the Detroit Water and Sewerage Dept. Bonds with our wrap on them have been trading comparably to those of our competitors, indicating that the market accepts the value of National's wrap and acknowledges its financial strength. The number of deals we've been shown has been steadily rising, which not only means that our marketing effort are having an effect, but more importantly it means that we have a greater opportunity to bid and win. Third, while interest rates have remained stubbornly low, we believe that we are beginning to see an improving environment for our product. The favorable resolution of some high-profile bankruptcies, including Detroit and Stockton, where bond insurers have a meaningful impact on the ultimate outcome, has once again proven the value of bond insurance. Because of our guarantee, National's insured bondholders never missed a payment. Insured penetration edged upward last year and with the Fed seemingly poised to raise interest rates later this year, and infrastructure across United States in urgent need of repair or replacement, we see no reason why insured penetration in our own production won't increase again in 2015. Turning to National's insured portfolio. Puerto Rico was obviously at the forefront of everyone's mind. But as Jay mentioned, the outcome remains uncertain and there isn't much we can say at this point. What I can say is that we are a party to the forbearance agreement among a group of creditors and PREPA, and we have continued to participate in productive discussions. During the fourth quarter, the Puerto Rico legislature approved legislation that among other things increased the petroleum tax and may change, as this should facilitate the refinancing of a significant portion of the HTA's debt. More recently, a federal judge declared that the Commonwealth's Recovery Act, which could have bring sense to the Commonwealth from its public corporations was unconstitutional. The Commonwealth has appealed this decision. At the same time, there is a proposal before the U.S. Congress to approve changes to the bankruptcy code that would allow Puerto Rico's government to authorize certain government-owned corporations to file for protection under Chapter 9. So there are a lot of moving pieces, and at this time it's impossible to predict how things will play out, but we intend to be an active participant in the process and we will fight to preserve bondholders' rights. We believe that a solution to PREPA situation can be achieved without either the invalidated Recovery Act or a Chapter 9 Bankruptcy, if all the parties continue to participate in meaningful discussions. In any event and regardless the outcome, National's insured bondholders can be certain that they will receive all of the principal and interest that's due to them on time and in full. Looking elsewhere on our $222 billion insured portfolio, we don't see any distress credits of the magnitude of Puerto Rico anywhere on the horizon. Although, we continue to carefully watch as municipalities across the country grapple with fiscal challenges, including unfunded pension liabilities. 2014 was a year of considerable success for us in remediating some back book exposures. Detroit and Stockton were probably the highest profile examples. But successful refinancing of the Harris County - Houston Sports Authority and the San Joaquin toll-road debt significantly reduced our exposures to these credits and resulted in material upgrades to the remaining exposure. In combination with the restoration of investment grade ratings on our Detroit water and sewer exposure, as well as about 20% amortization of the portfolio over the course of the year, a significant amount of National's capital was freed-up under rating agency models. At yearend 2013, National had $400 million to $450 million of capital in excess of the AAA requirement under the S&P model. While, S&P hasn't concluded its analysis of our financial position as of yearend 2014, we expect significant increase in excess capital, potentially increasing the excess to over $1 billion. So what does that mean for our ratings? Well, AA+ stable, we already enjoy the highest call rating given to a bond insurer. So we think we're well situated there. Despite our very strong and growing capitalization, at AA- stable, our S&P rating is a notch below those of our competitors. An upgrade to AA flat is predicated on multiple measures, including being able to demonstrate an ability to write a meaningful amount of new business over the longer term. Our goal remains to achieve the highest ratings available placing us on a level playing field with our competitors. Now, I'll turn it over to Chuck, who will review our financial results.
Edward Chaplin: Thanks, Bill, and good morning everyone. Today, I'll first discuss our GAAP financial results, and then focus in on the results and financial position of the Public Finance and Corporate segments whose performance is reflected in our non-GAAP measures of operating income and adjusted book value. Then I'll talk about MBIA Corp. and the margin of safety it provides to policyholders and the potential value available to surplus noteholders focusing on our statutory financial reporting. Then, of course, we'll open the call for your questions. So first let me touch on our consolidated GAAP results. Our net income on a GAAP basis was $569 million in 2014 compared to $250 million in 2013. The net changes in the fair value of insured derivatives drove both of these results, comprising the majorities of pre-tax income in both periods. In 2014, releases of marks-to-market upon commutations and terminations of policies was significantly higher than in 2013. In addition, consolidated operating expenses declined from $338 million in 2013 to $195 million in 2014. In addition to our GAAP results, we also reported non-GAAP measures that we believe provide additional context for our operating performance. Beginning this quarter, we're going to be reporting an operating income measure that is generally consistent with such measures used by others in the insurance industry in lieu of the adjusted pre-tax income measure that we have used since 2009. It omits gains and losses and mark-to-market items that we don't believe reflect ongoing business operations. And as I noted, it contains only the result for the Public Finance and Corporate segments, which we'll refer to as the combined results. Operating income is not a completely new concept for us. We reported it prior to the financial crisis and recession. So we regard this change as just another sign of a return to more normal operations. We'll continue to report adjusted book value as before, but it now also will omit the impact of MBI Corp., except to extent that the combined ABV does reflect the contribution that MBI Corp. has made to the holding company's tax position. Reconciliations of ABV and operating income to the relevant GAAP measures are included in our press release and in our Form 10-K. Now, turning to the results. The combined operating income for the company in 2014 was $185 million compared to an operating loss of $15 million in 2013. The biggest swing was in loss and loss adjustment expense, which improved by $115 million; followed by operating expenses, which were $99 million lower than last year. The effective tax rate in 2014 was only 5%, primarily because we released reserves for uncertain tax positions during the year. For the fourth quarter, operating income was $22 million compared to a loss of $383,000 in 2013's fourth quarter. While our operating income on a pre-tax basis was 9% lower than last year, the tax provision was substantially lower, swinging the result to a positive variance. Both periods were effected by tax items that we do not expect to recur. So on a go-forward basis, we expect that the tax provision on operating income will be close to the statutory rate, with the only difference being the tax-exempt interest on the small muni portfolio that we've maintained in National. And of course, as Jay has said, we do not expect to pay full cash taxes for some time. Adjusted book value per share was $24.87 at yearend 2014 compared to $24.05 at yearend 2013. Operating income accounts for $0.96 of this change. Non-operating items contributed another $0.81. The combination was largely offset by the reduction in unearned premium and reductions in the deferred tax asset. As National begins to write material new business, the decline in UPR should slow. The DTA decline of course reflects the fact that we did not pay any taxes to the IRS in 2014. At the segment level, National contributed $56 million of operating income in the fourth quarter compared to $60 million in the fourth quarter of 2013. And for the full year, it had $221 million in operating income compared to $151 million in 2013. Earned premiums declined compared to 2013 as has the par insured. Investment income was lower in 2014, as average assets and investment yields each declined modestly. But significantly lower loss and loss adjustment expense and lower operating expenses in 2014 more than offset the lower revenues. National's capital adequacy, as Bill has referenced, was very strong at yearend 2014. Statutory capital was $3.27 billion compared to $3.26 billion at yearend 2013, and that is after paying a $220 million dividend to the holding company. And the investment portfolio on National continued to be high quality and liquid. Moving then to the Corporate segment, which includes the MTNs and GICs issues by our previous asset liability product segment. It had an operating loss of $34 million in the fourth quarter of 2014 versus an operating loss of $60 million in the fourth quarter of 2013. In the quarter, virtually the entire change is due to lower tax provisions compared to the fourth quarter last year. For the full year, this segment had an operating loss of $35 million compared to a loss of $165 million in 2013. Lower operating expenses as well as favorable tax items contribute almost all of the positive variance on an annual basis. At the holding company level, our capitalization and liquidity both improved. Jay referenced our debt retirements from October until now. Over the course of 2014 we reduced our unsecured debt in MTNs by $122 million in 2014, and we're on track to reach our objective of middle investment-grade debt to capital ratio levels by the end of 2018. In addition, GICs were reduced by $153 million and the debt of our conduits was reduced by $129 million in 2014. At yearend, liquid assets in MBIA Inc. were nearly $500 million after the receipt of the dividend from National in the fourth quarter. And as Jay has said, approximately $228 million was released from the tax escrow in January, further bolstering holding company liquidity. New York State regulations limit dividends from National to the lesser of net investment income or 10% of surplus. National's dividend capacity has been governed by the surplus position in the past. In 2014, investment income fell as higher yielding assets rolled off, so it is now the binding constraint. We're currently expecting a dividend in the fall of 2015 to be between $100 million and $120 million based on the then trailing 12 months of investment income. This means that excess capital within National will now build even faster than it has in the last couple of years. [technical difficulty] While the second-lien portfolio provided a net cash recovery of $40 million in the year, the continued low interest rate environment stimulated prepayment activity that reduced our expectation of future excess spread leading to the incurred loss. At yearend, we recognized $550 million of excess spread value on the statutory balance sheet. Liquidity continues to be adequate to cover expected claims payment with an acceptable margin we believe for adverse experience. MBI Corp. excluding its regulated subsidiaries ended the year with $443 million of liquid assets and a lower expected future burn rate of both expenses and claim payments. So in conclusion, 2014 represents a critical turning point in our ongoing transformation. The volatility of MBI Corp. continues to be reduced. National has made significant strides for regaining its position on municipal finance landscape. At the holding company level, we continue rightsizing our debt and began to add value through share repurchase. Our legal entity and segment structure has been streamlined as have expenses. So we believe that we've established a solid platform to deliver additional value in the future. At this point, we will open the call for your questions.
Operator: [Operator Instructions] And your first question comes from Fred Gibson of JPMorgan.
Fred Gibson: Two questions, which I'll ask upfront. First, much has been discussed in the market about the Zohar transactions and the potential for that exposure to put the company, the Corp entity that is, into some sort of regulatory action. Can you update us on the risk that transaction poses to Corp and the potential value of course it would take away from surplus noteholders? And then further, why hasn't the company commented more, given more disclosure around this exposure, what the drivers are, and how investors should think about it? That's first one. And second question is I wanted to discuss Corp a little bit more. The company recently changed the reporting structure to prioritize the Corporate segment ahead of Corp, changed the presentation of adjusted book value and characterized Corp as non-core and took out operating income. Do these actions indicate something about the company's long-term commitment to that entity?
William Fallon: I'll handle the first question on Zohar. I think as the market is now aware, something that we said would happen for the last several quarters is now beginning to occur, which is that the operator of the Zohar entities has now retained a banker, and has reached out to bondholders and ourselves to begin the discussions, what is the right course of restructuring those transactions. We haven't provided a lot of detail on the actual underlying performance of the assets in the transactions, because we're bound by the normal confidentiality agreements that exist between ourselves and the insured in this case. We know that the first transaction will mature in November. We believe hiring an investment banker and beginning those discussions at this point in time is appropriate. And we're going to remain cautiously optimistic that all of that can be completed before November. That would consist of all the comments we'll make on Zohar at this time. And I'll turn over the second part of your question to Chuck.
Edward Chaplin: With respect to MBIA Corp., your question I think is the fact that we're changing the reporting, mean anything with respect to the way that we'll manage the business on a go forward basis. And our expectation continues to be, as I think Jay referenced in his comments, that we're responsible to maximize the margin of safety for the policyholders of MBIA Corp. as well as to maximize the recovery for the holders of the subordinate securities that are subordinate to policyholders, but superior to common equity. Our reporting, though, does recognize the fact that we believe that as things go well for MBIA Corp., we believe there will be recovery for the subordinate securities holders, but that it's unlikely that there's any recovery beyond that that goes through the shareholders of MBIA Corp. up at MBIA Inc. and ultimately to the our public common stockholders.
William Fallon: I think the other thing is the change at yearend reflects how we've been thinking about the company for quite a while and certainly reflects how a number of analysts that follow the company have been analyzing it, where they're basically have not for the past two or three years attributed value to the common shareholders for our ownership of MBIA Corp. And I think that the reporting that Chuck has introduced beginning with yearend 2014 is consistent with that view of the company. And we thought it was important that our basic reporting track pretty much with how the market was looking at the value of the common equity.
Operator: Your next question comes from Geoffrey Dunn of Dowling & Partners.
Geoffrey Dunn: Jay, I just want to clarify the debt leverage comments. And it sounds like basically you're aiming for like 20%, 25%, and would that include the straight corporate debt plus the investment agreements and the medium-term notes?
Joseph Brown: The way that we're thinking about debt-to-capital ratio is we're taking our unsecured senior debt at the holding company and adding to it the MTNs issued by the global funding subsidiary. Those are the holding company obligations that are unsecured and need to be serviced out of ongoing cash flow from the operating subsidiaries. The guaranteed investment contract that we've issued, at this point, and it have been since 2009, are all of fully collateralized by cash and high-grade securities, treasuries and agencies. So we don't regard them as net debt, if you will, at this point. We're comparing the senior debt and MTN to the capital-based debt plus the equity of that company, and again excluding the equity of MBIA Insurance Corp. on a standalone basis. And you're correct, Geoff, the target is 25% or lower.
Geoffrey Dunn: And then special dividends are a popular topic in this space these days. You're accumulating capital very quickly in U.S. public finance. How do you approach those conversations? And what are those things where you can't really approach the conversation until Puerto Rico is resolved?
Joseph Brown: That's correct. And certainly, our intent when Puerto Rico gets resolve, to then discuss our capital position with the regulator and any dividends that we might suggest.
Operator: Your next question comes from Brian Charles with RW Pressprich.
Brian Charles: Unfortunately, I think we got cut off on the conference call, maybe some listeners missed a few minutes there, so pardon me, if I'm asking that question that you might have already addressed. But I had a couple of questions. First off at MBIA Corp., I was trying to find some information, some updated information on your BBB CMBS exposure. I wasn't able to find it in the 10-K. And I'm not sure if you given that information elsewhere or if you have any comment on how that has amortized down over the last 12 year, but particularly in the fourth quarter.
Joseph Brown: We do have one transaction, a BBB CMBS that we've wrapped on which we have been making payments for over a year, since some time in 2013. At this point, there is about $300 million of par outstanding on that transaction. So I mean, we say, it's amortized down. We've been making payments on it.
Brian Charles: I guess, that was a $322 million at the end of September, so that's amortized down to $300 million. Has that amortization been payments or maturities of exposure?
Joseph Brown: Payments by us.
Brian Charles: The other pool that you had exposure to, has that have been generating losses at all? I think, as of September you had --
Joseph Brown: No, we only have one CMBS that's classified.
Brian Charles: And secondly, I don't know if I've missed some comments on this, but you had talked earlier about how you're characterizing the resolution of MBI Corp? And how you were trying to maximize value to surplus notes holders? Did I miss anything in the second part of the call on how you see that unfolding over the next several years?
Edward Chaplin: Nothing has really altered in terms of our approach. We have extremely long-term contingent liabilities at MBIA Corp. Some of the policies still stretch out 35, 40 years in the future. So the ultimate resolution of MBI Corp. and its subsidiary MBI U.K. will take quite a long time. We continue, I think, as we reflected in our comments, 2014 was a good year. We ended with slightly statutory capital. We've maintained liquidity. And we saw through a combination of normal maturities and then commutations and terminations, we reduced from $80 billion to $55 billion. By the end of this year in 2015, MBI Corp. will actually have more outstanding policies in the Public Finance segment internationally, than it will have in the structured settlement area. And that will continue, that ratio of public finance to structured finance exposures will continue to increase as we go out over the next five, 10 years. And so it's becoming predominantly an international public finance company, which we believe those results will be more stable and more predictable, when we get to a certain level, that's when we believe that the regulator will then start to consider surplus note payments on the accrued interest. I would note that as we've said in the past we have had discussions. We continue to be opened to the discussion, if the current surplus noteholders have a better idea of how to optimize value for the surplus noteholders. Always in recognition that the first priority for MBIA Corp. is to honor its policyholder obligations and then secondarily its surplus note obligations.
Operator: Your next question comes from Jane Castle with Avenue Capital.
Jane Castle: Your comments did cut out when you were discussing the Corp entity. But my question was, was there any compensation to Corp during the year and the quarter for the DTA use?
Joseph Brown: Corp actually had a positive taxable income in one of the quarters of 2014. And it did not make any payments to the holding company for taxes. So while it would provide taxes on its income statement in that quarter, it doesn't actually pay anything to the holding company.
Jane Castle: But what about the reverse, if the DTA is used by National or the holding company? Has there ever been a payment to Corp for the generation of those NOLs or the DTA? Has cash ever flown?
Edward Chaplin: No, there has been no payment.
Jane Castle: Is there any expectation for payment in the future or what? Is that disclosed in the exhibit that you filed?
Edward Chaplin: It is. And we wanted to make sure that this is clear to everyone. So we provided the tax sharing agreement as an exhibit to the 10-K. And you could also find it if you go in the Frequently Asked Questions section of website, there is a hotlink to it.
Operator: Your next question comes from Andrew Gadlin of Odeon Capital Group.
Andrew Gadlin: On National, in relation to the new policies that were written, can you talk about pricing and profitability for these new policies?
William Fallon: As we've mentioned, the market primarily driven by low interest rates and low spreads is quite competitive. However, we do have capital models and pricing models. And what we're seeing is, on those types of deals that you're seeing low -- excuse me, high-single digit returns on those. We still think that longer-term pricing needs to improve to really increase the attractiveness, but we are finding acceptable returns on the pricing.
Andrew Gadlin: Are is it by looking at different type of deals in your competitors or is it just getting comfortable with the current pricing level and the risk associated?
William Fallon: It really is the latter, getting comfortable with the current pricing. And again, relative to when we reenter the market what we thought might be the case, it's turned out that pricing is just a little bit lower than that. But the deals are competitive in the sense that there are multiple insurers bidding on most of the deals.
Andrew Gadlin: In Puerto Rico, this petroleum tax that's being passed and the proposal of refinancing some of the HTA debt has been controversial. Some folks like what it does, in terms of cleaning up HTA's balance sheet and others don't. Can you comment on how you view that situation?
William Fallon: Well, in Puerto Rico, I think there's two key things that we're looking for. One is the capital raise, which is what you're referring to here. Because of the increases in petroleum tax, it should allow the Commonwealth through HTA and then actually through PRIFA is what you're seeing in the press, that they would raise capital. Most of that, we believe, will go to support the general needs of the Commonwealth through the General Development Bank. The second thing we're looking for is the operational restructuring of PREPA, which is going to take some time to become more visible in terms of what suggestions and what recommendations they have. As you know they've hired Chief Restructuring Officer. So those are really the two things that we're looking for to increase the stability of the Puerto Rico situation.
Joseph Brown: But Andrew, just to be clear, we are very much in favor of the petroleum tax increase and the financing. The devil is in the details. We do have some suggestions about how that been structured to make it more viable to the market and have more sustainability over the long-term, so we just don't do a refinancing and find ourselves back in the situation in the near-term.
Operator: And your next question comes from Seth Glasser of Decade Capital.
Seth Glasser: I wanted to just ask another question regarding Zohar. With regard to the negotiation that's about to commence or that may have already commenced, what would your goals be? Would your goals basically be to try to support the process of a refinance or a restructuring of the deal by basically rewrapping a restructured deal? Or are there ways within the language in your contract that you think a restructuring might actually be able to take you out of your exposure?
Joseph Brown: There is a lot of different ways this restructuring could proceed. It is incredibly early days. And I'll tell you now, because you'll be asking the question in the next couple of quarters, there won't be a lot of discussion about what's happening until it actually occurs. So we're not going to offer any comments as to what is the possible outcome. But the two you mentioned are certainly different courses that we could take, depending on what's best for MBIA Corp. and it's other policyholders and its surplus noteholders. We believe that there are viable answers here to minimize any losses to Corp and that we're going to pursue those with a great deal of vigor here over the next several months.
Seth Glasser: And with regard to the timeframe, you said that you hope that it can be resolved by the November maturity. I mean, do you think this is a process that will take a few months? Or is this going to become a much more difficult and drawn out process that may include litigation in your opinion?
Joseph Brown: It's premature to know how long it's going to take. We remain optimistic that it will be resolved by the November timeframe.
Operator: Your next question comes from Randy Fabian of Tricadia.
Randy Fabian: Can you guys discuss any fourth quarter commutations you guys may have done at the MBIA Corp. subsidiaries within the structured CMBS book?
Joseph Brown: There were only a very small amount of commutations in the fourth quarter, and nothing of significance in the CMBS account area.
Operator: Thank you. At this time, there are no further questions. I will hand the floor back over to management for any additional or closing remarks. End of Q&A
Greg Diamond: Thank you, Christie. And thanks to all of you who have joined us for today's call. Please contact me directly, if you have any additional questions. We also recommend that you visit our website at mbia.com for additional information on our company. Thank you for your interest in MBIA. Good day and good bye.
Operator: Thank you. This does conclude today's conference call. You may now disconnect.